Operator: Good afternoon, and welcome to the Cibus Fourth Quarter 2023 Results Conference Call. [Operator Instructions] Please also note today's event is being recorded. 
 At this time, I'd like to turn the conference call to Wade King, Chief Financial Officer. Sir, please go ahead. 
Wade King: Thank you, and good afternoon. This is Wade King, the Chief Financial Officer of Cibus. I would like to thank you for taking time to join us for Cibus Fourth Quarter 2023 Financial Results and Corporate Update Conference Call and Webcast. 
 Presenting with me today is Rory Riggs, our Co-Founder, Chief Executive Officer and Chairman; and Peter Beetham, Co-Founder, President and Chief Operating Officer. 
 Before we begin the call, I'd like to remind everyone that statements made on the call and webcast, including those regarding future financial results and future operational goals and industry prospects are forward-looking and may be subject to a number of risks and uncertainties that could cause actual results to differ materially from those described in the call. 
 Please refer to Cibus SEC filings for a list of associated risks. This conference call is being webcast. The webcast link along with our press release and corporate presentation are available on the Investor Relations section of cibus.com to assist in your analysis of the business. 
 With that, I would now like to turn the call over to Mr. Riggs. Go ahead, Rory. 
Rory Riggs: Thanks, Wade, and welcome to everyone on the call. Today, I will provide a high-level overview of our progress in 2023 and how the events of the last year differentiated us in this emerging industry. And Peter will walk you through our recent commercial progress with our products and some milestones we expect to achieve this year. Lastly, Wade will finish with a brief discussion of the financials. Our goal is to help you best understand our business so you can measure and track our progress and the achievement of both a corporate and a commercial basis. 
 Above all, 2023 was the year we transformed from an R&D-focused company to a commercial-stage gene editing company. The company is focused on the production and commercialization of a family of gene-edited trait products. Our transformation began with the first transfers of our partners' edited to [indiscernible] in early 2023 in both canola and rice. These transfers mark the beginning of the timetable for the commercialization of our pipeline of developed traits. 
 In parallel, we opened the industry's first standardized semiautomatic type throughput gene editing facility that we call the trade machine. This facility is a huge breakthrough in the improvement of the precision, speed and scale of gene editing trade products for us and frankly, for the industry. What has made this breakthrough trade development even more significant is the progress we have seen in global regulations to regulate the trade from gene editing similar to trade from conventional breeding. 
 This shows there's increasing global support from this new gene editing industry to address the major sustainability challenges in our global food supplier. Before Peter provides specifics on our products and their progress, I'd like to briefly discuss how our commercial progress has occurred in parallel with the evolution of the company, and our vision of a commercial-stage gene editing company in place, which we define as an integrated commercial business model that connects research and the development of new traits to a standardized semi-automated trade production facility and lastly, through the commercial trait transfers into seed company customers for commercialization and sale of our traits.  
 [indiscernible] more simply, a commercial company focused on gene edited trait products. It operates a gene editing trait supply system. A system that is industrial scale to process and deliver multiple traits from multiple customers across multiple crops. 
 Above all, our first transfers of the opening of trait machine represent the face of our transformation vision of a commercial stage company. In our vision, technology-based trade companies operate as an extension of the seed companies breeding operation. 
 In this model, Cibus augments the seed companies breeding operation with important new complex traits. In so doing accelerates the seed and trait development of our customers. Importantly, because our traits are indistinguishable from traits derived from conventional breeding or nature more and more [indiscernible] regions and moved to adopt new regulations to encourage gene editing. 
 The goal of these new regulations is to encourage gene editing by treating the traits [indiscernible] similar to traits from conventional breeding. 
 The United States and South America were the leaders in adapting these new regulations. An important moment in the ongoing development of this new industry happened in February 2024 and even the EU voted to regulate traits from NGT technology similar to traits from conventional breeding bringing the EU in mind out of the United States, South America and many others. 
 These adoptions country-by-country has shown the importance of our technology in achieving a sustainable global food supply. These new regulations [indiscernible] represent a real point of inflection. The new regulations are globally enabling this new era of standardized high-throughput trait development. 
 In the seed industry, traits are critical basis of competition. The need for faster scalable methods for breeding cannot be understated establishing global regulatory standards are another important part of this puzzle. 
 Because of the scale is being enabled by our stabilized high-throughput trait development technology, this moment is commonly referred to as agricultures analog to digital moments. In other words, this era is going to materially speed up new trait development and enable new trait build the time lines in a fraction of the time and cost of conventional breeding or GMO methodologies. 
 This is why we believe that our vision for a commercial staged gene editing company is the future of breeding and the future of commercial crop development. 
 As discussed, the centerpiece of our commercial strategy is the advancement of our commercial pipelines integrated with our stand-alone high-throughput trait facility and the initial transfers are traits to leading seed companies for commercialization. This is why 2023 was a major point of inflection in our business and for the industry. 
 Now Peter will provide more specifics on our pipeline and our path to amortization. Importantly, we provide some background and trait products and our execution. Peter? 
Peter Beetham: Thank you, Rory, and good afternoon to everyone. As Rory highlighted, our commercialization efforts are well underway and are focused on launching our 3 developed productivity traits with customers. Pod shatter reduction or as we call it, PSR in canola and our herbicide tolerance traits in rice that we call HT1 and HT3. 
 Before I launch into the product discussion, I would like to explain how we define developed traits and why there are significant advantages to working with these traits in customers' elite genetics. Essentially, this helps to frame our vision for our developed trait products. We define develop traits as having completed multiple years of successful field testing that the traits have met our Cibus product specifications and the traits have completed a product stewardship assessment, which includes quality assurance, regulatory and intellectual property documentation. 
 These developed traits are in customer elite genetics providing Cibus customers with a significant time advantage to move traits to market and the potential to accelerate their pre-commercial breeding activities. Essentially, we are an extension of their own plant breeding programs. This acceleration is also impactful to any of our follow-on products that mature from our advanced trait development. 
 This integration of genetics and traits highlights why we see this analog to digital moment Rory mentioned previously. 
 Let me continue by further describing our first developed productivity trait PSR in canola. PSR strengthens the Pod sheet around canola or winter oilseed rape seeds protecting the crop yield in many typical to extreme weather conditions at harvest. 
 In canola, farmers are moving to what they call direct harvest where they can harvest canola without the need to mow it down first. This saves on fuel costs and allows greater flexibility to manage the timing of harvest on their farms. Multiple years of our field trials, including the most recent 2023 results, have shown that our trait across many genetic backgrounds has similar efficacy to the leading competitor product that is currently on the market. 
 We have already achieved significant commercial traction with our PSR traits, demonstrated by our engagements with 10 seed company customers to have Cibus PSR trait edited into their elite germ plasm. We believe this current customer base which includes names such as Bayer, Nuseed and Nutrien represents over 20 million acres or approximately $150 million of potential annual royalties from canola and winter oilseed rape. 
 We achieved a major milestone in 2023 by completing transfers to multiple customers signaling that PSR is getting closer to generating revenue for our company. We enter 2024 with significant momentum and by the end of the year, we expect 7 to 8 out of our 10 current customers in canola will have their elite germplasm containing Cibus's trait either transferred or ready to be transferred back to them. 
 As a reminder, the transfer of elite germ plasm containing the Cibus trait enables the start of the commercialization process. 
 Moving on to our other 2 developed productivity traits, HT1 and HT3 in rice. This is another multinational expansion opportunity for Cibus. These HT traits targeting lead management in rice are fully developed and validated like our work in PSR, and our current customer base represents 3 million acres or approximately $70 million in potential annual royalties. 
 To help frame this opportunity in rice, take for example, the success of GMO base traits have had in major crops such as canola, soybean and corn. Over 95% of these crops currently utilize GMO-based HT traits for weed management. This is amazing penetration that speaks to the value those traits provide to producers. However, the rice industry has yet to achieve similar success having only had conventionally produced HT systems that struggle to have the success of GMO-based HT traits. 
 This void presents a significant opportunity for Cibus's trade solutions, which have been shown to be very effective as demonstrated in our 2023 field trial results that indicated both HT1 and HT3 met or exceeded performance expectations when evaluated with proposed commercial herbicide application rate. 
 These field trials are an important step improving the effectiveness of our technology and helping to drive commercial progress. To that point, we have secured agreements with 3 major rice seed company customers including Nutrien and Interoc. To have Cibus's HT1 and HT3 traits incorporated into their elite germ plasm. 
 Excitingly, we have also successfully completed the first transfers of customers elite germ plasm containing our HT1 and HT3 traits. This marks the beginning of commercialization for our rice traits. 
 Our commercial team is working hard to expand our customer base for canola and rice with all 3 of our existing developed productivity traits, and we expect to secure additional customer agreements in 2024. 
 Let's move to progress of advanced strengths. In addition to the incredible achievements within our developed traits, we continue to make progress with our 2 advanced traits. Sclerotinia resistance, also known as white mold resistance and our herbicide tolerance HT2 trait. Both are multi-crop traits, meaning that they have potential efficacy across multiple crop types including canola, winter oilseed rape and soybean. This is an important distinction as we have the commercial opportunity to earn royalties across multiple crop types based on the same trade. 
 Let's start with the first advanced treatment, Sclerotinia resistance. Sclerotinia is the most economically significant disease in canola and one of the major diseases impacting soybean. In canola alone, we estimate that approximately 30 million acres could be impacted by Sclerotinia. Sclerotinia is a fungal pathogen that causes a significant disease known as stem rot in crops. It affects 14% to 30% of canola and winter oilseed rape fields annually. 
 And in 2016, the Canola Council of Canada reported that potentially up to 90% of the Canadian canola crop was affected. Sclerotinia can reduce canola yields by 7% to 15% with yield losses per infected plant being as great as 50%. The Canola Council of Canada calls Sclerotinia stem rot the most economically significant canola disease in Canada. 
 There's also a significant disease in soybean with the prevalence of the fungal pathogen detected in soybean production regions of between 33.3% in 2015 and 78.3% in 2020. To be durable, this resistance trait like other disease traits need to address multiple parts of the disease condition, meaning it needs multiple modes of action. 
 In 2023, we achieved a milestone affecting 2 different modes of action against Sclerotinia in canola, and we were able to successfully prove effectiveness in greenhouse tests. This year, we expect greenhouse results for a third mode of action for Sclerotinia resistance in canola. We are also currently developing a plan to integrate Sclerotinia resistance into soybean once that editing platform is fully developed. 
 When successful, this would be the first major disease trait that would be applicable to multiple crops across canola and soybean alone. We believe this represents over $800 million of future annual royalty payments. 
 Let's move to our next advanced trait HT2. Many weeds have become resistant to Herbicide as a result of their extensive use over the last 20 years. Thus, for crops like canola and soybean, there is huge demand for broad-spectrum herbicides and associated herbicide traits that target broadleaf weeds. This is where our HT2 trait can make a real difference in improving productivity in farming. We completed successful edits of HT2 in canola in 2023, demonstrating continued progress in its development. Because of demand in canola and soybean, we believe HT2 has the potential to be the first gene edited trait to achieve 100 million acres of yearly use. 
 For perspective, the industry estimates that GMO-based herbicide-tolerant traits are utilized currently on over 300 million planted acres. So there is a clear precedent demonstrating adoption of value-enhancing traits, which represents an immense opportunity for us. We are excited to see the important greenhouse results for this at this summer. Combined, our 3 developed and 2 advanced productivity traits represents a potential target market of over 250 million accessible acres, which translates to well over $1 billion in potential annual royalties. 
 I would emphasize that we are just scratching the surface of what we have the potential to achieve with this business. Let's move on to other platforms and sustainable ingredients. Now I'll touch on the development progress of our other crop platforms and our sustainable ingredients business, utilizing a set of quality traits that we are working on. We announced in January that we made a major industry breakthrough in completing what we believe to be the world's first successful regeneration of wheat plants from single cells of elite wheat germ plasm. 
 This amazing accomplishment demonstrates our company's continued success in developing scalable, high throughput, breeding platforms that can operate as extensions of seed company breeding programs. We believe this new platform opens the potential for developing various productivity and sustainable traits that work to address the most significant challenges faced by wheat farmers globally. 
 I'm extremely proud of our entire R&D and technical teams for making this breakthrough. Our success was completed well ahead of schedule, and we expect to demonstrate initial edits toward developing productivity traits for wheat this year. 
 Turning to our soybean single cell regeneration platform, this is clearly one of the toughest cell biology challenges many institutions have faced. However, we continue to make progress on this challenge by refining many steps in this process to be successful for our standardized high-throughput trait machine. We expect the platform to be operational and have initial editing completed in 2024. Continued development of our soybean platform is a key strategic initiative and is the foundation of our emerging sustainable ingredients business, which is focused on the development of plant-based alternative oils for downstream customer applications. 
 We anticipate completing discovery efforts for alternative oils this year, an initial step towards developing solutions utilizing our quality traits that increase our customers' ability to meet their sustainability targets. What's particularly exciting for us is that we already have existing engagements with many of the world's large sea companies across other crops and projects. As we continue to build trust and demonstrate value with these customers, we are also sowing the seeds for our future soybean platform as well, which we think really demonstrates the thoughtful approach that we have brought to our business model. 
 The commercialization of our 3 developed traits and the progression of our 2 advanced traits remain the central focus of our corporate strategy. As such, we intend to track the progression of each trait as it is deployed into our customers elite germ plasm. The progress of which will be central to our quarterly updates going forward as each trait by crop combination starts generating royalty revenue. 
 I'll now pass the call to Wade to briefly review our financials. Wade? 
Wade King: Thank you, Peter. Looking at our financials for the fourth quarter. Cash and cash equivalents were $32.7 million as of December 31, 2023. From a cash flow perspective for the 3-month period ended December, we used $17.1 million of cash for operations, which implies a monthly burn rate of approximately $5.7 million. Meanwhile, we've been working hard on optimizing our resources and have implemented cost-saving measures that have reduced our operating cash flow burn rate down to $5 million per month. 
 We believe this represents the appropriate level of cash burn needed to fund planned operating expenses and capital expenditure requirements going forward. This should extend our current cash runway into the early third quarter of 2024. In terms of financing activities, we raised $20.3 million of gross proceeds via a registered direct offering in the fourth quarter and have also been successful in raising additional proceeds via regular equity sales in the first quarter. 
 Moving to our income statement, which I'd like to remind everyone isn't directly comparable to that of the prior year given the merger with Calyxt that closed in May of 2023. Please keep this in mind as I make reference to the prior year results. R&D expense was $14.2 million for the fourth quarter of 2023 compared to $2.3 million in the year ago period. The increase was primarily related to increased lab supply and facility expenses, an increase in employee head count and an increase in stock-based compensation expense for restricted stock awards. SG&A expense was $6.8 million for the fourth quarter of 2023 compared to $1 million in the year ago period. 
 The increase was primarily related to an increase in headcount, increased consulting and legal fees and an increase in stock-based compensation expense for restricted stock grants. Royalty and liability interest expense was $8.1 million for the fourth quarter of 2023 compared to no expense last year. This was related to the liability assumed in the May 31, 2023 merger with Cibus Global LLC. 
 Nonoperating income was $0.1 million for the fourth quarter of 2023 compared to nonoperating income of $0.5 million in the year ago period. The decrease was due to $0.8 million received in the fourth quarter of 2022 from a legal settlement. This was partially offset by a $0.3 million change in the fair value of the liability classified Class A common stock warrants. 
 Net loss was $277.2 million for the fourth quarter of 2023 compared to a net loss of $2.8 million in the year ago period. The increase in net loss was primarily the result of a $249.4 million noncash goodwill and intangible assets impairment charge that we recorded in the fourth quarter that was associated with our May 2023 merger with Calyxt. 
 For additional details about our financials for the fourth quarter of 2023, please refer to our press release and filings with the SEC. That concludes our financial discussion. Rory, now back to you for your closing remarks. 
Rory Riggs: Thanks, Wade, and many thanks to everyone for listening in. I hope we accurately portrayed our excitement about our progress. The incredible commercial momentum we have achieved so far is a really strong endorsement of our industry-leading gene editing technology, which uniquely positions us to partner with the breeding operations of some of the largest seed companies in the world. 
 Furthermore, as Peter mentioned, our expected milestones for 2024 will further show our commercial progress with our customers for our developed products and the key milestones for advanced traits and new platforms. Together, they show our business vision of building a large, high-margin agricultural trade royalty business based on the family of our high-value trait products and our proprietary technology platform that will enable us to develop and deliver on an ongoing basis multiple complex traits for multiple seed companies across multiple crops. 
 As I hope this is evident, Cibus is leading the charge into the new gene editing era. We truly believe that we are at the forefront of agricultural analog and digital moment. We are excited about our continued commercial success in the months in quarters to come. We look forward to updating you. Operator, that concludes our prepared remarks. 
Operator: [Operator Instructions] Our first question is from Bobby Burleson with Canaccord Genuity. 
Bobby Burleson: So just curious, when you think about the cash runway and the milestones you guys have kind of set out for 2024, which ones do you think are kind of first half milestones? What can you kind of execute on prior to needing that infusion of cash to happen? . 
Rory Riggs: Thanks. The big milestone that we expect to do, and it's just taking so long is trying to get soybean complete. It's been -- we keep making progress. This is one of the toughest projects in biology, and I think we're really close to getting out and if we can accomplish this it not only opens up 250 million acres, but it really opens up the sustainable ingredients business. The ability to take soybeans and Proctor & Gamble is working with us. We have others working with us to be able to start that whole industry. So those are the one for most the big milestone that we focus on. The others is we are shipping as much as we can or working to get our traits out into the marketplace. And to me, those are the derisking moments for us is to be able to get in people's hands, they're germplasm with our traits [indiscernible]. 
Bobby Burleson: And then I guess, just trying to understand the importance to your partners of the programs that you're working on, especially as you have successes and kind of prove out the viability of the platform, are there any kind of maybe qualitative things you can highlight in terms of how that's helping your business development efforts, the access to your prospective partners, existing partners or things? Are you seeing building momentum there based on them tracking your successes and the overall kind of de-risking of the viability of the platform? . 
Rory Riggs: That's a great question. We have 2 big things. One is because of our platform, we're able to make these products. And so we actually have 3 developed products, and they've been through their field trials. So before anybody sent us their seeds, they've already gone to the field. They've seen the products work, and that's the trait development business, right? The big part of our business where you see this amazing progress is the industrialization of the trade business. So once we have the trait, you don't hand it to them. We have this trait machine, which allows to bring in germplasm to us and give it back to them. 
 And what we see is real momentum for the big seed companies to work with us so that each ongoing season, they can look at us as a cost-effective way of updating their traits and getting them into the field. And we weren't quite expecting this type of momentum this quickly. And you saw by having Nutrien or Bayer come out and say that they were working with us. 
 And what that meant was they were working with us more than just the traits we gave them. They were working with us as a seed partner and they're getting their crops ready. That's how we look at it. And the fact that the industry itself is accepting this model that we can take their elite germplasm but traits [indiscernible] give it back to them on a timely and cost-effective basis. I think when we first [indiscernible] Bob, I don't think we could have told you it would happen as fast. But it's clear that the industry is as we start the second and third launches are really buying into this model of us being able to cost effectively make these ends and give back their products. Did that make sense? 
Bobby Burleson: Yes, makes a lot of sense. And maybe I can just squeeze one more in on the royalty opportunity. You talked about some pretty big hundreds of millions of prospective royalties and just kind of traction service there. But maybe can you revisit the kind of split that you're assuming in terms of former germ plasm owner, and the value enhancer in your role in terms of how you arrive at that market? What's the kind of rough math that you guys are thinking in terms of how that value creation is split amongst stakeholders. 
Rory Riggs: I'm going to try this. This is one of the harder questions for us to answer in general about this business because the trait businesses has been around for a long time. So between the seed companies, there's $2 billion, $4 billion traits, everybody's developed things and they entered license [indiscernible] each other and pay royalties. So the knowledge base that royalties are quantifiable. So when you -- especially for productivity trait, when you noticed that if you put a trait in, you can quantify the cost benefit and you share it with the seed company, with the farmer and with us that for each of our traits, there really hasn't been much of a dispute as to what type of royalty you would have and how to launch them. 
 And so we've been fairly encouraged by how well they've adopted. We won't know until we launch them, but the fact is for each of the traits that are -- that we have. We are getting them into their hands, and they have a real model for which their pricing these things. And we're encouraged, it says that it's not going to be trait farmer by farmer. We encouraged that each of their crops, these are traits that they need like a BT trait, you needed that every acre, right? that we're encouraged that these traits are going to be into a [indiscernible] first 3 traits of our customers germplasms that are sold. Things like Sclerotinia, we don't think these will be more than 1/3 of the acres or 50% of the acres, but we're pretty concerted how to look at them. 
 Peter, do you want to add anything to that? Do you want to [indiscernible] talking every day to the seed companies and pricing and launching. Peter? 
Peter Beetham: Thanks, Rory. And thanks, Bobby. I think a great question around how we develop with our customers a pricing strategy that makes sense in the marketplace. As Rory said, this is a market that has really understood the value of productivity traits.  Farmers are fighting every day to manage their input costs. And so being able to bring productivity traits to market with our customers, allows us to really understand that value proposition very clearly. 
 So I think when you hear that very large annual royalty payments, it's for us, that is the addressable market and the opportunity. And we continue to get customers wanting more, more of their genetics through our system. And the only other thing I'll add is the excitement around the fact that we're integrating into their plant breeding programs at a level that they haven't had before, gets people very excited of being able to penetrate the market very quickly. So being able to put [indiscernible] traits into a broad genetic base means that you can get the traits into more product lines more quickly. And so that's something we're looking forward to see how that pans out in the next few years. 
Rory Riggs: [indiscernible] robustly Bobby, is that okay? 
Bobby Burleson: Yes. That was perfect. Thank you. 
Operator: Our next question is from Sameer Joshi with H.C. Wainright. 
Sameer Joshi: On the European front, is the time line for the European Council and the European Commission coming together still in that July time frame? Or do you have some additional color on that? 
Rory Riggs: Thanks, Bobby, and thanks for your support. It's really our big story, right? Once they come through this, suddenly, the rest of the world will start to follow them. So it's exciting as you probably know, there's a final council vote that hasn't happened yet. And so the debate we have is once that happens, there could be any day now, which combines the groups and from that, we can put timetables together. The question for I'll let Peter encourage it more is it seems quite clear that there'll be a bill passed that says for our type technology that is going to be treated in a certain basis, but there's a bunch of fine-tuning to that regulation that we're hoping to have completed by year-end, and that's the debate we're waiting for. 
 Peter, do you want to add to that? Is that clear enough? 
Peter Beetham: Yes, I think that's clear enough Rory. Just to add a little bit to that because I think Rory stated that the process has started, and there is -- as they went through the process, there was a lot of amendments that they have to finalize and the council vote is they're discussing that as we speak. The bottom line is, though, I would like to make sure that people understand this process will go to completion, and there will be an avenue for gene-edited crops into Europe or into the EU here in the foreseeable future. So that is the exciting part. You have the U.K. already with all their laws implemented. And we're hearing already that companies are putting field trial applications into the EU. And that is exciting also. So it is a process, and it is going in the right direction. 
Unknown Executive: And you're actually trying to be able to do the field traits. I know you're probably hoping we just commit to European being done, but we're working with it. It's pretty exciting where it is. 
Sameer Joshi: Right, right. Meaning the next -- if this gets through, then you can use your existing American technology out there. There won't be a new process that begins from scratch? 
Rory Riggs: No. The encouraging thing is that we told [indiscernible] the paper there. they totally got oligonucleotide direct immunogenesis. And as you know, their safety study, it wasn't just gene, I think was oligonucleotide. So [Technical Difficulty] is safe. And so we're pretty comfortable that our technology by itself is spotlight in these new regulations, and we're encouraged that the traits we have. It's a new crop, winter oilseed rape is different. So we're starting to do field trials in England, which has been really helpful. But it's not the trait itself, that we're really encouraged by -- and how big weed is in Europe, that's a big product for us also, but we're -- we don't see a risk in the trade itself. I think we've actually had a really positive encouragement on that. 
Sameer Joshi: Understood. And then just following up on Bobby's questions related to the royalty. So the 250 million acres for the developed and advanced traits resulting in $1 billion annual royalties to you. Does this mean that the total savings or additional productivity is or yield is $2 billion to $3 billion on this 250 million acres? Is that -- I'm just trying to triangulate some numbers here. 
Rory Riggs: Well, I know that we heard us often. I'm going to take the soft side, I'll let Peter take the hard side of it, but any revenues we have, by definition, result in direct savings to the farmer. We're dealing with in rice, they've never had a gene edit trait for herbicide traits. And so this is a big savings in rice and in pod shatter, it's been an immensely powerful new trait. And if we can do Sclerotinia, it is the toughest crop in Europe and in canola and in soybean. Every dollar we got results in a direct increase and decreasing cost for the farmer. 
 Peter, do you want to add anything to that? 
Peter Beetham: Yes. Thanks, Sameer for the question. Because I think that as Rory stated in his remarks, we're really fortunate with our technology to be able to address what I see is multi-crop, multi-trait stackable traits, if you like, into very different geographies. And I think that's the area that we see the huge value drivers. So when you think about stacking traits and going across different crops, you can look at the market and even conservatively see these large numbers generated over time with royalties, just like we've seen in the market with the GMO traits. As we've stated before, they continue to generate billions of dollars of royalties every year. So when you have compelling traits and you're able to get them into multiple crops and multiple geographies that you create a huge amount of value. 
Sameer Joshi: No, it's remarkable the market size as well as your progress in trying to get to it. It's really amazing. I just had one last one maybe for Wade. Is the goodwill impairment sort of out of the way or should we -- should we see next year some mark-to-market or some revaluation there? . 
Rory Riggs: Well, thanks for the question. I think you can expect us every fourth quarter to reevaluate the goodwill impairment. This year was unusual in that following the merger, several things happened. Number one, you may recall the stock price at the time of the merger was up above 30. And then when we did the impairment analysis in the fourth quarter, it was actually closer to 10%. And so that had a dramatic impact on the goodwill impairment analysis. And then secondly, as you know, back in the fall, in October, specifically, we rightsized our spending plans based on the near-term trade opportunities. Those things contributed the majority of impact to the goodwill impairment charge. And so I think every year, we'll reevaluate this. I think I would expect this to be the one that is most significant by far that jumps out and obviously, was largely related to a lot of merger dynamics and us rightsizing our spending plans going forward. And so once again, in the fourth quarter, every year going forward, we'll expect to reevaluate that and we'll take it one step at the time in that regard. 
Sameer Joshi: I think the rightsizing of spending what I was moving in my thought process. . 
Operator: There are no further questions at this time. I would like to hand the floor back over to Mr. Riggs for any closing comments. 
Rory Riggs: Thank you so much. This has been such a big year for us. And I think the thing we're most excited about is that we set out some really aggressive milestones that we thought were based on our technology and what we should accomplish. And we're pretty excited that we hit those and that we set out some great milestones for next year, which will [indiscernible] commercial [indiscernible] customers having their traits, having a couple of new platforms. And so hopefully, our traits are not just us there, traits that signify where the industry is moving and the ability for the industry to actually have this extension of a conventional breeding that's being done in a facility like the trait machine. So we would like to be known for having [indiscernible] them. 
 And so I just -- thank you for your support, and we're really looking forward to this year as another year of amazing progression in the development of this industry. So thanks, team. 
Operator: This concludes today's conference. You may disconnect your lines at this time. Thank you for your participation.